Operator: Welcome to the Global Conference Call of Daimler. At our customer's request, this conference will be recorded. The replay of the conference call will also be available as an on-demand audio webcast in the Investor Relations section of the Daimler website. The short introduction will be directly followed by a Q&A session. [Operator Instructions] I would like to remind you that this teleconference is governed by the Safe Harbor wording that you find in our published results documents. Please note, that our presentations contain forward-looking statements that reflect management's current views with respect to future events. Such statements are subject to many risks and uncertainties. If the assumptions underlying any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. May I now hand over to Björn Scheib, Head of Daimler Investor Relations. Thank you very much.
Björn Scheib: Good afternoon. This is Björn Scheib speaking. On behalf of Daimler, I would like to welcome you both on the Internet and the telephone to our Q3 results conference call. Today, I'm very happy to have with us Bodo Uebber, the CFO of the Daimler AG. In order to give you later on maximum time for your questions, please shorten your questions and minimum one questions please. Bodo, now let's begin with the short introduction and then we head on to the Q&A session.
Bodo Uebber: Thank you, Björn, and good afternoon. In the third quarter we proved once again that we are pursuing the right strategy and are progressing with the right products and technologies. Revenue in the third quarter increased by 13% to €37.3 billion and EBIT from ongoing business by 31% to €3.7 billion. All divisions contributed to this success with higher EBIT compared to the third quarter of last year. Mercedes-Benz Cars reported a profit margin from ongoing business of 10.4%, Daimler Trucks 8.3%, Mercedes-Benz Vans 7.1%, and Daimler Buses 8.8%. Industrial free cash flow in the first three quarters came in at €4.8 billion mainly driven by improved earnings. Industrial net liquidity stood at a comfortable level of €19.5 billion at the end of September. These strong financials show that our investments in new product are paying off in our efforts to improve efficiency continue bearing fruit in all divisions. At the same time, we are moving forward on our strategic course and are preparing Daimler for the future. Let me size up three prominent examples. We broke ground for the joint venture plan with Renault-Nissan in Mexico where our next generation compact class will be produced. We had the world premiere of a partially autonomous driving Mercedes-Benz Actros on public roads. And we reached an agreement with Nokia on the joint acquisition of the Here digital mapping business together with Audi and BMW. To sum up the third quarter, we continued to grow profitable and are continually developing our business model. In light of the recent news, I'd like to say a few words about our diesel technology. Daimler does not use and have never used defeat devices, which illegally limit the effectiveness of the emission control system. This applies to all of our diesel and gasoline engines worldwide. We place great importance on conducting our business with integrity and comply with ethical laws and regulations. We consider the diesel engine to be and remain an important fuel efficient technology that plays a crucial part in achieving the climate goals. At the same time, current discussions also confirm our strategy to invest in and develop a broad portfolio of future power train technologies. Now let's take a closer look at how our divisions performed in the third quarter. Mercedes-Benz Cars sales were up 18% in the third quarter. Sales increased significantly in all regions. China continued to be a major contributor with sales up 39% mainly driven by the new and locally produced C-Class and GLA. EBIT from ongoing business increased to €2.2 billion and the profit margin to 10.4%. Apart from higher sales, EBIT benefited from efficiency enhancements and net pricing, while the regional structures had a negative impact. Let's turn to Daimler Trucks. Despite weak truck markets in Latin America and Indonesia, Daimler Trucks was able to slightly increase sales by 2%. At the same time with an ongoing EBIT of €805 million and a corresponding profit margin of 8.3%, the division achieved significantly higher EBIT from ongoing business compared to the same period last year. EBIT benefited from higher unit sales in the NAFTA region and Europe, efficiency enhancements and foreign exchange rates. At the same time we continued investing in new technologies, future products and additional capacity. Mercedes-Benz Vans also increased sales by 5% in the third quarter. EBIT from ongoing business rose by 11% to €196 million, driven both by higher unit sales and better net pricing. Despite lower unit sales, Daimler Buses increased EBIT from ongoing business to €90 million and grew its profit margin to 8.8% in the third quarter, thanks to strong positive foreign exchange rate effects, which offset the weak business in Latin America. Daimler Financial Services revenue grew in line with our Automotive divisions. Contract volume was up by 12% to €111 billion compared to the year-end 2014. EBIT increased by 6% to €378 million, benefiting from foreign exchange rate effects while we spent more in growing the business. Let's now briefly discuss our expectations for the remainder of this year. Driven by the strong product portfolio, Mercedes-Benz Car sales in the fourth quarter will reflect the same pattern as in the third quarter. We expect ongoing EBIT in the fourth quarter to be significantly above the level of the previous year. The positive development comes as a result of a strong product portfolio and continued disciplined efficiency management. At Daimler Trucks we expect EBIT from ongoing business in the fourth quarter to be significantly higher, further supported primarily by strong sales in the NAFTA region as well as continued efficiency measures. At the same time, we expect further headwinds from weak markets in Turkey, the Middle East, Indonesia and Brazil. Mercedes-Benz Vans expects fourth quarter ongoing EBIT to be significantly higher than last year due to higher expected unit sales. At Daimler Buses, declining sales in Latin America due to the economic situation in Brazil will negatively impact EBIT. At Daimler Financial Services we expect EBIT from ongoing business in the fourth quarter to be significantly above the previous year, mainly driven by higher portfolio volume. As you know, for all these divisions we anticipate our period year end costs similar to those of previous years. Let's turn now to our expectations for the full year 2015. We updated our market assumptions for the passenger-car markets and now expect the global market around the prior-year level. In light of the normalization of the Chinese markets, we now expect a slight growth in 2015. For Europe, we have raised our guidance to significant growth and for truck markets our guidance is lower for Brazil to be down by as much as 50% and Indonesia to be down by as much as 35%. Our EBIT guidance for the group remains unchanged. We expect to significantly increase our group EBIT from ongoing business in 2015. For Mercedes-Benz Cars, standard trucks, Mercedes-Benz Vans and Daimler Financial Services, we aim to achieve ongoing EBIT significantly above the prior-year level. Then the buses expects EBIT slightly below the prior-year level due to the weak business in Latin America. Based on the current foreign exchange environment, we have updated our guidance. We now expect a positive EBITDA effect for our Industrial business to total around €800 million. That number reflects headwinds resulting from several emerging market currencies, mainly the ruble, as well as variation effects. The key divisions benefiting from this effect are: Mercedes-Benz Cars, with around 40%; and Daimler Trucks, with around 60%. In respect of this year's special reporting items, we are expecting expenses for the restructuring of the sales organization in Germany of up to €400 million in total in 2015 and 2016. The anticipated favorable earnings development in our Automotive business in 2015 should also be reflected in our Industrial free cash flow. Despite higher investments in CapEx and R&D, we assume Industrial free cash flow will be slightly above last year's level. Both our earnings development and free cash flow provide a good basis for an attractive dividend for the year 2015, and we continue to target a payout ratio of 40% of net profits attributable to Daimler shareholders. We rely on our financial strength and strong balance sheet to safeguard our ability to invest in products, technology innovation, and production facilities. In 2016, we will continue to renewal of our product portfolio and will benefit from our strong, new SUV fleet. With the new E-Class Mercedes-Benz, we'll take another significant step towards autonomous and connecting driving next year. Additionally, the new C-Class will come with a highly efficient new engine technology. We also keep pressing forward with our alternative drive train strategy. Of the 10 Plug-in Hybrid models we will bring to the market by 2017, five will be launched by the end of this year. Additionally, we are working on an intelligent vehicle concept with a range of 400 kilometers and more as basis for an electric vehicle architecture. Overall we are working to safeguard and improve our current performance by continued product portfolio renewal and expansions; keeping investment in innovation, product, markets, brands and gross at a high level; leveraging the potential in mobility services, new business and digital innovation; and by continued implementation of efficiency enhancements and structure change to sustain and improve our flexibility and operating performance and thus make us – our business overall more robust. I'm convinced that our strategy is paying off, that Daimler continues to be a promising investment case. Thank you, and now I look forward to your questions.
Operator: [Operator Instructions] The first question is from Tim Rokossa, Deutsche Bank.
Tim Rokossa: Yes. Thanks for taking my questions. I'm going to put it into one but it's a bit longer, Björn. I hope that's okay. Can you help us understand where we are in the U.S. truck cycle? Earlier this year you said some of the weakening in order intake expressed that you didn't have open your books for 2006 and yet that's probably changed. Orders are still down 16% in Q3. Can you may be shed some light on this? And then also tell us about your 2016 order intake, how it currently looks like, and taking that to a global level as well. With Western Europe really being the only market that is currently growing in orders, how shall we think about trucks and the 8% margin in the coming quarters? Thank you.
Bodo Uebber: Tim, thank you for your questions. First of all, of course we have seen the book-to-bill ratio and after for the third quarter, which is on the one hand based on the very high sales number which is due to the fact that we have increased capacity, and that we are now working, so to say, on the order backlog to bring it to the customers, the trucks to the customers. That is one thing, that the increase was very high. On the other hand, we see order intakes, a less dynamic order intake in the third quarter. That's the second part. The third part is based on this. I do think we are pretty optimistic for the year 2016. So we believe that with this order intake development that the market could stay at the high level of 2015, which is a very strong level, or it will be slightly down compared to 2015. Finally, we will make up our minds in the February discussion of the fiscal year-end. So that means we are optimistic for the U.S. because then the market would be between the year 2014 and 2016, which is a very high level, so to say, and would be a very good starting point for the year 2016. On the other hand, of course, we are also, as you know, building up capacity for our captive engine automatic transmissions. Therefore, that we can also increase our take rates for the U.S. Your second question with regard to Europe, order intake in Europe was quite promising to stay in line with our market guidance of 10% to 15% for this year. And it gives us a little bit, also optimistic for the year 2016 within Europe. But also here it is said, it has to be said that we will finally update you in February for the market assumptions of 2016. What we saw in the weak markets in third quarter in order intakes was Turkey, because Turkish slowed down somewhat and Middle East, I do think with some good reasons. I don't think that I have to point on the reasons for the Middle East, it slows down a bit. So all in all for the year 2016 we are somewhat optimistic, as I've already said, for the NAFTA region. We are also somewhat optimistic for Europe. But of course there are other regions like Brazil and Indonesia, which of course are in different stage. And finally, update will also be given in February. Margin development, of course we are not giving out four quarters. Finally we will give you also a guidance in February to what's the development of trucks in 2016. Thank you.
Tim Rokossa: Great. Thank you.
Operator: The next question is from José Asumendi, JPMorgan.
José Asumendi: Thank you. José, JPMorgan. Just one question, please. On currency, if you could just give us an update that will be around the currency hedging strategy for next year? And also, it looks to me like there is a large implied tailwind on the currency for the Autos finishing for the fourth quarter. If you could comment please on the visibility on that earnings tailwind for Q4? Thank you.
Bodo Uebber: Thank you, José, for your question first. Of course, we don't give guidance now today for the year 2016. I do think the volatility is too high as to put a number for currency guidance out now. We will do the same, as I said before, we will update you in February on this topic. As you know that our hedging policy is a constant one, so to say. So the current hedge book for the dollar is two-thirds. We are two-thirds hedged in 2016 and the year after by roughly 40%. Of course you can calculate it in your own numbers. What currently is happening, therefore we adjusted also our currency guidance that we had impact on the very volatile emerging markets development in currency, mainly the ruble, of course which led to the decision that we have adjusted our currency guidance from €1 billion to €800 million. The second reason is that we have valuation effects on the receivables and payables, which led to the second reason to reduce our guidance to €800 million. Anything else, of course, you know the numbers year-to-date. We have updated you where the currency is and the remaining piece, so to say, you can expect for Trucks and Cars in the fourth quarter. Forty percent of the 800 million is related to Cars, 60% to Trucks, which is of course a change to the former guidance but I explained the reasons to you. One thing we have to say that for the ruble, for example, and some other weaker currencies, if we are able quite successful to offset some of these effects which are negative in our pricing strategy, which is well done from Mercedes-Benz Cars also in the third quarter.
José Asumendi: Thank you very much.
Operator: The next question is from Arndt Ellinghorst, Evercore ISI.
Arndt Ellinghorst: Yes, hi, Bodo and Björn. Bodo, just a quick one your excess liquidity. It's standing at around 19.5 billion industrial net cash right now, probably more than €20 billion year-end. If you're sticking to your payout ratio target of 40%, you're probably going to pay out €3 billion to €3.5 billion in ordinary dividends and you're going to generate quite a bit of cash next year, I hope. So what's your strategy really? Other companies are talking about share buybacks, special dividends. We haven't heard anything from Daimler and you're currently running with the best momentum I've seen the company operating in. But you're a little bit quiet on how your shareholders can participate in terms of cash return. Would be good to get an update here. Thank you.
Bodo Uebber: Thank you, Arndt, for your question. I do think I was not quiet. Even in my introduction I have pointed that the earnings development is a good basis for a discussion with our supervisory board about the dividend. So I gave a small hint and I'm a bit positive about the latest development and I confirm the 30%, 40% payout ratio. And when you look to our year-to-date numbers in EPS, I would think you come up with a nice number so that goes into the right direction. Of course the €19.5 billion is quite a high number but I do think it is smart from today's point of view to stick to this number. It is a comfortable number, no doubt. But of course we have seen so much volatility in the market and I don't think I have to name the different events we have seen over the last three months which certainly gives us a hint about volatility, also, somewhat in the future. Therefore, I do think it smart to keep liquidity on board for this unknown, so to say, higher flexibility to keep our ratings strong and stronger, even also to make sure that we have our tool with financial services for our industry and for our sales. And that is decisive from my point of view to stick to there and to strengthen it, you know the 12 months flexibility. And the third element is, of course, our company will be as strong to invest into product technology and investments in the future, and that will also mean that for the next couple of years, we do more in investments and R&D to keep our company on the product side running and on services. That is the reason why you don't hear anything from us, so to say, from special dividends or share buy-backs in any way. You know our arguments also for these two tools.
Arndt Ellinghorst: All right. Thanks, Bodo.
Bodo Uebber: Thank you, Arndt.
Operator: The next question is from Stephen Reitman, Société Générale.
Stephen Reitman: Hey. Yes. Good afternoon. As we get to the beginning of next year where we move into the replacement of the E-Class, obviously built on the MRA platform. Do you think the lessons you've learnt with the C-Class will be rewarding you in terms of launch costs and the cadence of how you increase output on the E-Class next year?
Bodo Uebber: Stephen, I do think we will see, not so to say, different launch costs, as we have seen it also now in 2014 and 2015 with regard to the C-Class launch. Of course you will see – of course we have not as many plans in E-Class then in C-Class no doubt and therefore it might be somewhat easier. But anyway I don't expect next year launch costs being the major headwind or tailwind.
Stephen Reitman: Thank you. Yeah.
Operator: The next question is from Fraser Hill.
Fraser Hill: Yeah. Hi. Good afternoon. Fraser Hill from Bank of America-Merrill Lynch. My question, which is going to be around your China business which obviously is performing very well this year unit wise, but I did notice that you downgraded your view of the market growth from I think significant to slight growth. So how does that adjusted view feed into the thoughts around your own growth in China? Clearly, you're still going to outperform the market sharply, but are you seeing any impact of that? That slower view on the market in your own business at all around the fringes? And could you sort of broaden your comments into the development of your pricing and discounts because obviously two of your major competitors are discounting fairly heavily now in the region? Thank you.
Bodo Uebber: Of course I'm very pleased with our China sales development, no doubt. Of course we are very positive on our localization strategy. We know we have localized our GLA. As of this year on the one hand we have introduced the standard wheel base of the C-Class in July. Based on this, of course we created a strong momentum for our products. The C-Class is pretty strong in the market and differentiates itself from competitors not only as a product but also in pricing, which is something we wanted to achieve. As you go back to history, where we were with the predecessor of the C-Class, and therefore we can so to say based on this product, based on our dealership expansion we can separate from our competitors. On the other hand of course you see life cycle effect. On the S-Class for example, you have seen that in the third quarter, and of course the same pattern would be true for the fourth quarter in terms of structure of the business. But, yes it's right. We decoupled somewhat from the market or from competitors' developments, which is of course a situation which will hold on also in the fourth quarter. I think it's quite clear that we can't go for 30%, 40% every year, no doubt. But again, it depends on some life cycle, product effects and so on and so forth. The end of course, our localization strategy is bearing fruit that we have the higher growth potential of course for our localized products. That is not only product, as I said before. I do think our management in China is doing a very good job. They have brought together this very famous two sales organizations in one. We have a very good relationship to our dealers, which I do think in today's time this is decisive. I do think also our concentration on price premium and acting on this with our inventory management and production is pretty good, and therefore I'm pretty optimistic that that we can further grow our business on the one hand, but also in terms of profitability.
Operator: Thank you. The next question is from Jürgen Pieper, Kepler Capital Markets.
Jürgen Pieper: Yes. Hi. It's Metzler Capital Markets actually. Sorry. Yes, gentlemen, I have one question on productivity. On your recent capital markets, your colleague, Michael Schaeffer, gave a quite impressing presentation and highlighting that you produce Mercedes Class basically with the same number of people but your output is 10% to 15% higher. Does it mean looking forward to 2016 that we'll see consequences of these measures and also maybe with some additional measures and productivity gains next year would be quite high, at least in the order of 5% to 10% or so?
Bodo Uebber: Thank you for your question, Mr. Pieper. I do think – the general approach I do think we have outlined in many capital markets there but also in the last one that we would like to get our efficiencies over longer term up and running, and also to go further for structural measures. That holds true for the whole company but also for our plants. In all of our plants, the target pictures were defined and agreed with the different stakeholders, and this is the basis, of course, for each and every plant to go forward also with efficiencies, but also on the other hand by investments we are taking into our German plants but also then towards Rupert, Tuscaloosa, and other plants. So the efficiency, the general target is, of course, to do as much, as many safe increases with the same workforce. Whether it holds true or not forever, so to say, depends a little bit on our growth perspective, but anyway I do expect that we have the same efficiency gains, so to say, in this year also for the years to come. So same direction.
Jürgen Pieper: Okay.
Bodo Uebber: Thank you.
Jürgen Pieper: Thank you.
Operator: The next question is from Daniel Schwarz, MainFirst Bank AG
Daniel Schwarz: Yes. Thank you. I have one question. Following the Volkswagen issues, do you see any impact on residual values on your diesel cars? And do you see any risks that maybe ABS transactions could on back of that become less attractive or more expensive for you?
Bodo Uebber: Not clear no. Of course we have some competitors' products in our portfolio which we are watching. But, anyway, other than this, we don't see any impact.
Daniel Schwarz: Excellent. Thank you.
Operator: The next question is from Horst Schneider, HSBC.
Horst Schneider: Yes. Good afternoon. It's Horst here from HSBC. I have got a more short term oriented question. When I look at the Q4 outlook and we have got this foreign exchange gain in Mercedes Cars and we have got the ramp-up of the GLC, you talk about a significant increase in earnings year-on-year in Q4 but, given that top line should continue to accelerate and should be higher than in Q3, is it fair to assume that the Q4 adjusted EBIT or the EBIT from ongoing business is going to be in Q4 higher than Q3? Or do we have to expect some of the usual year-end effects which could drag down earnings to some extent? Thank you.
Bodo Uebber: I could make it very simple. What you said is true.
Horst Schneider: Okay. That's clear.
Bodo Uebber: So you will see [indiscernible].
Horst Schneider: Very good.
Bodo Uebber: And please keep in mind that we have same, I have made the message, we have the same pattern on makes in the fourth quarter on the one hand. And please keep in mind that we are growing in China with locally-produced cars where we have higher sales. And you know that the revenue behind it in the consolidation is not 100%, so the sales – because we have the joint venture which we are consolidating. Please keep this in mind. And you have given more the answer [indiscernible].
Horst Schneider: That's great. Thank you very much.
Operator: The next question is from Marc Tonn, Warburg Research.
Marc-René Tonn: Yes. Good afternoon. Just perhaps a follow-up on pricing. You mentioned that you have experienced pretty strong pricing in the first three quarters. Is this more driven by the new products you have launched? Is it driven by the regional mix due to the price increases you had in Russia, for example? And how does pricing develop for those models which are in the run-out phase, please?
Bodo Uebber: The positive pricing is based mainly on our new C-Class, which is developing strong. Secondly, we do always inflationary pricing all over all product and countries. And thirdly of course, I mentioned it before in one answer, that we try in the countries where we have weak currencies to act on the pricing side. And one example here as a major example is Russia and the ruble.
Marc-René Tonn: Thanks.
Operator: The next question is from Sascha Gommel, Commerzbank.
Sascha Gommel: Yes. Good afternoon. Thank you for taking my questions. I've got one follow-up to Stephen's questions on the launch of the E-Class. I understand that the net effect will be zero in terms of year-on-year change but can you maybe share your view or give us some more color on how we should expect the phase-in? Is it expected to already start or has it already started in the third quarter? And will increase in the fourth and the first quarter 2016? Or how should we think about the let's say ramp-up curve of the costs?
Bodo Uebber: Okay. Thank you for your question. Of course it's true, in the first quarter of course we have the – so year-over-year we don't see launch costs are the same, but of course in the run-out of the life cycle of course we have more impact in the first quarter when we introduce the E-Class, the Daydon. And that [indiscernible], so to say, over time and over the quarters. In September we are launching the Estate and then we will come to the launch in China in the first quarter with the E-Class. And therefore the bigger impact would be if you look to quarters in the first quarter, but launch cost-wise over the total year, we don't see huge differences.
Sascha Gommel: Okay. Helpful. Thank you.
Bodo Uebber: You're welcome.
Operator: The following question is from Alex Haissl, Credit Suisse.
Alexander Haissl: Yes. Good afternoon. This is Alex Haissl, Credit Suisse. My question will be on the Mercedes-Benz margin on the slides 27. You also show like 8.6% last year and 10.4% this year. If you just take a look on the cost side, you have some tailwinds from higher capitalization of development costs. You have taken down SG&A costs by 150 basis points, 160 basis points year-on-year. And also D&A costs are down 20 basis points. So if I would just add up the savings on the cost side year-over-year, I would end up more than 11% margin. Given the comments that you've made on pricing positive and 18% volumes year-over-year, can you help me to understand what are the main negative drivers for margins in this third quarter? I do understand that your Chinese revenues, the consolidated one, are down 7% year-over-year, but it would be great to get more color why is there not more of an offsetting negative factor than just the region and structure that you mentioned?
Bodo Uebber: Of course we are pretty happy with our cost developments so far and of course we have worked a lot to bring the company into this position. As you go back years ago where our other cost changes were and where they are now, we are pretty happy with all the efforts of our leadership. What are negative, so to say, which are going the positive developments, as you have said, like SG&A which is going down for example. As you know, we have higher depreciation in our company. We have launched, so to say, more plans on the one hand. We have invested more and that you can clearly see on the depreciation side of our business. Of course we have inflationary costs. You can also imagine worldwide that our payroll does increase by year. That also go – kicks in into other cost changes and that makes – and that is what we are able to offset under the EBIT work of cost changes. Other than this, of course, the mix has somewhat changed in the third quarter and that will hold on. Also in the fourth quarter, you have seen S-Class, so to say, you have seen compact cars on the other end and I mentioned it before, the signoff with parts by parts business is going up over proportionately, so to say, to the Import business. And these are the main effect why we are currently on and under 10.4% and why, of course, there are also reasons that the business should stay in on this levels of 10%.
Alexander Haissl: Okay. Sorry, last up. Sort of quick follow-up question. When do you think you get an inflection point when basically the savings can no longer offset really the cost increases? Or gather where you're out how much cost can you really take out in the next quarter, two years to compensate for this increase cost you just mentioned?
Bodo Uebber: I think it's a good question you have. I think we should wait for the next division date, where we might give a mix outlook for longer term development costs. As we have always pointed out on the material cost side, of course there our target is a net zero approach for future products. But to discuss this further in detail, I just think the division date would be the right way to answer your question.
Alexander Haissl: Thank you very much.
Operator: Thank you. The final question is from Frank Biller of LBBW.
Frank Biller: Hello. Good afternoon. Thanks for taking my question. Another one on the Chinese business, maybe you can share with us your view about the Chinese market in the mid to long-term run, especially on the volume growth expectations that you have, especially premium cars against mass market or budget cars? What's your expectation here?
Bodo Uebber: Of course we are general positive in the long run for the Chinese markets. Of course there are high volatilities, as you know by your own. We have seen a lot of that in the second quarter and third quarter. But in general the Chinese market, as you know, the density of cars is hundreds divided by 1,000 inhabitants. We see a stronger growing middle class in China. I read an article a couple of weeks ago that the middle class now in China is the biggest one in the world. I do think it will stay there, due to the growth effects we see. I'm also positive to see that the service industry in China is doing well. On the one hand it's also possible – possibilities to further develop this middle class into the right direction, and that's what leads, from our perspective, that the premium car business in China should be over proportionally growing to what the volume market or the market in total. Which kind of percentage that is, of course I do think it might be a little bit lower than compared to last year's perspective, but I do think it's 5% to 6% in average. I do think that it's a current expectation of many analysts for a long-term growth in China, and that would be something of course with the premium mark and overachieve in the long run.
Frank Biller: Thank you.
Bodo Uebber: Thank you.
Björn Scheib: So, ladies and gentlemen, thank you very much for your questions and being with us today. As always, investor relations remains at your disposal to answer any of you additional questions you may have. We hope to talk, to see you soon. Thanks and goodbye.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may now disconnect.